Operator: Ladies and gentlemen, welcome to the PALFINGER IR Call Earnings Release Full Year 2025. I'm Lorenzo, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Felix Strohbichler, CFO. Please go ahead, sir.
Felix Strohbichler: Thank you. Good morning, ladies and gentlemen. A warm welcome to our presentation of the results of the financial year 2025 for PALFINGER AG. First of all, let me remind you a little bit about what is PALFINGER about. So PALFINGER is a true global player with a revenue of EUR 2.34 billion revenue in 2025. We are present worldwide with engineering centers with 30 production sites and, of course, thousands of sales and service points around the world with around 12,000 employees at the end of 2025. What makes us stand out? What is the equity story of PALFINGER? PALFINGER is, at the same time, technology leader and industry leader. So it's not just about being the top player in terms of technology, but also leading the market in volume at the same time. Second topic is PALFINGER is highly resilient. We have a very broad product portfolio. We are globally present. We have a huge industry diversity. And due to local value creation, we are much less dependent on developments like tariffs, et cetera, compared to other players. Third point is PALFINGER is clearly a growth company. On the one hand, there is a momentum in Europe and a big potential or even a huge potential in Europe, and we focus on growth markets like North America, APAC and Marine. And of course, there is a major growth potential in the Service segment, which is also over proportionately profitable. And when we talk about profit, also the earnings potential of PALFINGER is significantly above current levels because we can still increase our profitability, not only through growth, but also through digitization, standardization and optimization of our footprint. I mentioned resilience. On this slide, you can see our customer segmentation. And obviously, this is very well balanced. The first and the most important industry segment is infrastructure. And obviously, this is a growing segment, and we expect more to come here, not only from Germany, but also from other markets. And then you see that the second biggest industry segment is Marine, and then it's very well balanced between 7% and 11% of share of our revenue for each customer segment. I also would like to highlight the public sector and railway in this sector, we also find the defense share of revenue. On the next slide, you see, again, our product portfolio. You know it, it has not changed. On the one hand, we have solutions on trucks and rail cars like different sorts of cranes, aerial work platforms, hook loaders, tail lifts, et cetera. On the other hand, we have our Marine Solutions from very large offshore cranes on oil rigs to wind cranes on wind farms, targets and boats Wind System and Slipway Systems, for example, for defense applications and what all those solutions have in common are the digital solutions, which make our products connected and which bring us even closer to our customers. Last year, we launched our new Strategy 2030+, reach higher and the key pillars of this strategy are 3 strategic directions. On the one hand, lifting customer value; secondly, balanced profitable growth; and last but not least, execution excellence. These 3 strategic directions are backed by in total 18 programs to drive our growth and profitability, and we have defined 5 key must-win action themes, which are also mentioned here. On the one hand, it's to further improve our positioning as customer-focused technology and market leader. Secondly, a massive expansion of service and spare parts business with a big impact on profitability. Third point is aerial work platforms have to become an additional core pillar of PALFINGER in our portfolio. In execution excellence, we focus on supply chain optimization, footprint optimization and setup of our global footprint in an even better way. And last but not least, process system and data optimization is a key lever for the future to be able to leverage also artificial intelligence and possibilities of the future. Coming now to our segments. As you might recall, we have 3 segments. On the one hand, the segment Sales and Service, which includes all the Sales and Service activities, then we have the segment Operations with all factories for assembly and manufacturing. And last but not least, we have the segment Other nonreportables. I will come to this later. Starting with the segment Sales and Service. Let me walk you through the individual markets which had quite a different development last year. Even within EMEA, we didn't see a unified picture. On the one hand, we have already a very good development in Southern Europe over the last years. In Northern Europe, we could see a good improvement in 2025. Germany had also come back a little bit from a very weak situation in 2023 already at the end of 2024. However, the infrastructure package in Germany did not show any positive effect yet in 2025. Hopefully, we will see something in 2026. Coming to North America, obviously, the tariff situation, especially Section 232 had an impact on the demand. This was actually the biggest impact of the tariffs and also, of course, the tariffs which could not 100% be passed on to our customers, lead in total to reduced profitability. In LATAM, on the other hand, despite of the volatile situation in Argentina, we could report a record revenue in LATAM. In APAC, we also have a very different development within the region on the one hand. In China, we didn't see any major economic recovery since COVID. On the other hand, India is the key growth driver in APAC, big growth rates, a very attractive market and a market we will invest in heavily in the years to come. The Marine business has an excellent performance, driven by major orders from offshore wind, oil and gas, cruise ships and other segments. So everything is performing very well. So we have a consistently good order intake, and there is no sign of a change here. And last but not least, as you might recall, we have a setup in Russia, which is completely ring-fenced, acting autonomously. Here, we have now a major impact of the sanctions in 2025, which means that there was a decline in revenue and also in earnings, not making losses, but also no contribution to the bottom line for PALFINGER. So coming now to the KPIs of the segment Sales and Service. First of all, you can see the external revenue was on the same level, so very stable. EBIT margin went up by 9.5%. However, we also have to acknowledge that if you look at the 2 segments, allocations and transfer pricing have an important effect. This is why I recommend to rather focus on the group numbers. However, what is important to mention is mainly the numbers you see at the bottom of the slide. First of all, order book development. You recall that in the COVID phase or post-COVID phase, there was a huge demand. We had an order backlog of 1 year in 2022. In 2023, we still had a very quick order book at the end of the year, and this even spilled over to a certain extent into 2024. We had a good start in 2024 due to the backlog from the past. And in 2025, we managed to keep the order book almost stable, so only a very slight decline despite of the fact that we don't benefit anymore from the backlog of the post-COVID time. So this means that the order intake is more or less on the same level as the output, and we have a reach of 4 to 5 months visibility, which is a very good situation to be, which is also in line with the customers' demand in terms of delivery times. Our Service business share went up from 15% in 2023 now to 17.4%, in line with our strategy to push the Service business share. And of course, this development should go and we want to exceed the 20% mark within the next years. Coming now to the segment operations. First of all, we have seen here capacity adjustments in both directions. On the one hand, we had to expand, fortunately, our capacity in Europe, especially for aerial work platforms and for loader cranes. On the other hand, due to the tariff policy and the dampened demand, we had a lower capacity utilization in the United States and of course, also reduced output in the CIS due to the economic situation in Russia. Coming to the numbers of the segment operations. First of all, let me highlight the external revenues. This is extremely stable, so the same level as last year, which also shows because we already had almost EUR 200 million in the past that the overall economic situation is still somehow on a low level. And this, of course, also translates into the profitability of production of third parties. So of course, the main activity in the segment operations is production for our segment Sales and Service, but in the external revenue, we only see production for third parties. I already mentioned when I talked about the EBIT of Sales and Service that there are always shifts in terms of transfer pricing and allocation. So the reduction you see here is to a large extent also due to a shift of allocations. Coming now to the segment Other nonreportable segments. This includes, on the one hand, the holding activities, so strategic initiatives for the whole group. And on the other hand, it includes the segment Tail Lift, which is too small to be reported separately. In the external revenue line, you see the development of the Tail Lift business. Unfortunately, in 2025, the market was extremely difficult in Germany as well as in the U.S. for reasons everybody knows, which led to a decline in external revenue. The EBIT line was stable in this segment with around EUR 44 million negative, of course, because this is a cost center to a large extent for the holding project. What does this mean now for the group numbers? 2025 was the third best year in history in terms of revenue and EBIT despite a very volatile environment, especially in North America and CIS. So we managed actually to almost compensate the situation in North America and CIS with positive developments in Latin America, in APAC, in Marine and also to a certain extent, in EMEA. So the revenue was almost the same, minus 0.9% reduction to EUR 2.339 billion. EBIT at EUR 174.3 million, which is a decline of 6%. However, what is the most important topic for our investors, shareholders is the consolidated net result. You can see only a very small decline of 3%. So we can report here EUR 96.7 million of consolidated net result, which in combination with the good cash flow we will come to in a minute, allows us to propose a dividend of EUR 0.90, which is together with the dividend in 2024, the second highest dividend ever in PALFINGER's history. On the right hand, you see the revenue share of PALFINGER, so 60% EMEA, around 1/4 North America and the rest split between LATAM, APAC and CIS. And here, you can also see that CIS is constantly reducing the importance in terms of overall revenue going now down to 4% in the total picture. I already mentioned that free cash flow has been positive. I have to correct this. Free cash flow has been great. It's the best free cash flow ever in PALFINGER's history, EUR 181.5 million of free cash flow compared to the already very good free cash flow of last year of EUR 120 million. How was this possible? The starting point with the EBITDA is more or less the same. However, we had another positive impact in the working capital with EUR 57 million. And we have also been rather low on the investing activities with around EUR 100 million. There will be some compensation of this relatively low number in 2026. However, in total, this is a very big success to come with this high number of free cash flow. Of course, a good cash generation, a good operational performance also helped a lot to improve our balance sheet. The equity ratio has gone up to 43% coming from 35%. Gearing ratio at very healthy 50%. Net debt to EBITDA, the KPI banks are looking at 1.71 is a great number, far below 2.0. So a very good set of balance sheet KPIs. Even more impressive is if you look at the last line of this slide, the net debt has been reduced by more than EUR 200 million to a level of EUR 460 million. So we came down from EUR 662 million to EUR 460 million within a year. You also see that the interest rate has again come down, however, comparing to the years 2020, 2021, when we were talking about 2%, it's still relatively high. And despite of the fact that we have repaid quite a few debt positions in the last 12 months due to the good cash flow, we still have a very good remaining term debt of 3.17 years. So I mentioned that the operational performance was a major lever to lead to this very strong and rock-solid balance sheet. The second big pillar was the sale of treasury shares, which was implemented in summer last year. So we placed shares for proceeds of EUR 100 million, which support the implementation of our Strategy 2030+. So this will help us with the expansion of our service locations, our mobile service in North America, with our investments in defense projects. We opened last autumn our spare parts hub in North America. We are going to further expand our service locations in EMEA, and we are also going to invest in a new plant in India, just to name a few out of the strategic initiatives in our Strategy 2030+. Of course, next to this increase in room for maneuver, it also helped to improve our equity ratio, gearing, et cetera, the whole balance sheet. And this measure also increased the free float to nowadays 43.8%, which was the basis for the inclusion in the ATX. And I'm very happy to be able to report that yesterday, it was made official that PALFINGER will be part of the ATX index as of 23rd of March. On the bottom of this slide, you see the share price development last year. So a plus 30% share price increase within 2025, also another increase in 2026 despite of the actual developments in the Middle East. And what this ATX inclusion will lead to is improved visibility. So PALFINGER now officially ranks among the top 20 stock titles on the Vienna Stock Exchange. Index funds will have to invest in PALFINGER, which further increases our liquidity and in total, this should give us easier access to international investors because now it's more or less official that the liquidity of PALFINGER has now reached a healthy level, which is attractive for our investors. Coming now to the outlook, first of all, for 2026. So we have an order backlog, I mentioned it before, of about 4 to 5 months. So we already have a visibility into summer and beyond the first half of 2026. So from today's perspective, we can say that for the first half year, we expect revenue as well as EBIT to be slightly above the prior year level. We are also confident for the full year. So we do see that in the first months of the year, for example, in Germany, order intake has gone slightly up. It's not yet the full recovery. So what we need in order to achieve our financial targets by 2027 is a further recovery in Germany and also an upswing in the U.S., which we do not yet fully see. This has to happen now in the coming months to be able to get to the EUR 2.7 billion revenue, 10% EBIT margin and more than 12% ROCE by 2027. We have set ourselves ambitious financial targets for 2030 in our strategy reach higher. We want to reach more than EUR 3 billion, and please do not forget more than -- this is important to highlight at the 12% EBIT margin and 50% ROCE, of course, as the #1 for crane and lifting solutions in our industry. Where do this -- where does this growth come from? On this chart, you can see the contributors to the growth. And obviously, Service with a very high impact also on profitability is a very big lever. But also recovery EMEA is a big potential for us because EMEA is still far below its potential. Aerial work platform is another big pillar, also a key initiative for us where we expect a lot of growth. And then we have other activities like TMF in North America, which is important for us. In APAC, we will invest in the plant in India. In Latin America, we expect further growth. And then you can also see Marine and Defense. And you would, for example, expect that Marine and Defense would show a larger share. You have to account for the fact that a lot of the revenue in Marine, but also in Defense is allocated to Service because these are very service-intensive parts of our business. On the next slide, this is translated into the profitability improvement levers. So this is just the additional profitability where should it come from. And obviously, it's the same level as on the last chart, but there is an additional lever, which is footprint and efficiency optimization, which will also help us to get to the profitability targets on top to the growth initiatives. All those initiatives are based on growth with basic or let me say, normal development of the world. On top of this, there are some global investment programs on the horizon, which account in total to EUR 2.8 trillion. And these create huge opportunities to PALFINGER, even if not all the EUR 2.8 trillion will be probably spend, not everything will go in industries where PALFINGER will benefit from, but still there will be some business, some substantial business for PALFINGER in these initiatives. Just let me highlight the fiscal package in Germany, EUR 500 billion. Rearm Europe, EUR 800 billion, InvestEU, almost EUR 400 billion, REpower Europe. The U.S. Stargate Project, EUR 500 billion, which, by the way, shows major effects already for us. So we deliver a lot of cranes, which are linked to this U.S. Stargate Project for infrastructure, for artificial intelligence. And last but not least, reconstruction of Ukraine will also need EUR 500 billion of investments in infrastructure, housing, et cetera, and PALFINGER is very well positioned to benefit from this. And this is something which should support us also in the years to come. Thank you for your attention. I'm looking forward to your questions.
Operator: [Operator Instructions] The first question comes from the line of Markus Remis from ODDO.
Markus Remis: Congrats to the ATX inclusion. First question relates to the order intake. If you could shed some light on the development early in the year, as you pointed out, the dynamics will be very, very crucial to get to 2027. So how was the beginning of the year with -- maybe with a special focus on the U.S. and the situation in that market?
Felix Strohbichler: First of all, I can say that in EMEA, we had 2 strong months, January and February. However, it's too early to say that this is now a sustainable development. This is why I'm still cautious. However, the first 2 months were clearly above previous year's numbers. And this makes us also confident that we have a good chance here to see an improvement in the coming months. However, it's a little bit early after 2 months to say this is now really a start of a recovery. We also have, of course, some geopolitical developments at the moment where we need to look what this means. But coming back to your question, very clearly, the first 2 months actually were higher than in the last year and showed a good momentum, especially in EMEA. In the U.S., the situation is still a little bit calm. So here, we clearly need more momentum to be able to get to the 2027 targets.
Markus Remis: Can you also give us an indication where the North American market stands in terms of order intake year-on-year?
Felix Strohbichler: Year-on-year, the order intake is stronger because it's a low basis. But again, in order to reach our target, we need here a stronger recovery in the U.S.
Markus Remis: Okay. Okay. Very clear. Then the second question, staying with the U.S. We've seen Hiab putting out some news that they're going to expand in the -- especially in the Service market. Can you share your thoughts on how your competition is shaping up at the moment?
Felix Strohbichler: Well, of course, it's always difficult to talk about competition. What we can see is because Hiab is publishing, of course, also their order intake and their service revenue by region that we are winning market shares in every region compared to the Hiab numbers, which also underlines the fact that PALFINGER is putting the right focus on customer proximity, pushing Service business, investing in our Sales and Service setup. Hiab in the last years has been extremely cost focused, which also is translated, of course, in the profitability, which really has to be acknowledged as outstanding. However, our customers obviously seem to feel a difference here between a supplier who is investing in Sales and Service and the supplier who is rather focused on cost cutting also in areas where customers can feel it. And I think this is probably the main difference between the approaches of Hiab and PALFINGER in the last 24 months.
Markus Remis: Okay. Okay. Sorry, I have again to stay with the U.S. I think in the last year, you had a burden of roughly EUR 15 million related to the tariffs. So if I remember correctly, it's kind of already including the countermeasures. What's kind of the scope for 2026 and especially now that, I mean, again, Trump has changed the tariff framework. How does that impact your outlook?
Felix Strohbichler: Yes. So first of all, if we look at the tariff implication in the meantime, we had, of course, the chance also to analyze in detail what was the real impact. And even if we don't disclose the final number, actually, the tariff implication was a little bit smaller than we had anticipated and estimated. So in fact, the amount we had to pay in total in tariffs was still a significant double-digit million EBIT amount, but not as high as anticipated and estimated. The major impact was actually the decrease in the market. So the lower demand, demand was compared to the budget, an even bigger impact than what remained in terms of tariffs because the tariffs could be compensated, of course, to a certain extent with measures like price increases, et cetera. There is still a gap which is significant. And this gap will be closed on the one hand with measures in terms of supply chain, but I guess this will be even faster as soon as the North American market picks up every supplier and every competitor will, of course, strive to pass on cost increases of the past, which has not been fully possible in a rather low market environment. So I think that this year, we can talk about still an impact, but it won't be a game changer for PALFINGER. So probably it's a double-digit million EBIT amount, but not a high one. So a low double-digit million amount, maybe the impact. And as soon the market recovers, of course, this will further decrease with countermeasures, especially with price increases.
Markus Remis: Okay. And then the last question relates to your cash flow. So I mean, congrats on the development here, but partially, it was helped by factoring, at least as far as I can see, about half of the working capital improvement came from factoring. Can you outline your strategy here going forward now that the balance sheet is arguably on a much more solid footing? Is it going to stay at these levels? Or do you now see the leeway to reduce factoring again?
Felix Strohbichler: I think actually, we do not have plans to reduce factoring. However, if you look at the total picture of our balance sheet, it's now extremely healthy. We have no intention to make the picture worse. As you know, our strategy is clearly organic growth. There are investments, of course, involved and the next years will still be years of rather heavy investments. So we are talking about investment volumes of about EUR 150 million per year for the 3 years to come as we have some strategic projects on the go. But in total, our balance sheet will at least remain on this solid level. And the plan is, of course, for the years to come to even further improve it despite of the growth initiatives as there is no M&A included, at least not on a major scale and nothing which would change the picture to the negative.
Operator: The next question comes from the line of Daniel Lion from Erste Group.
Daniel Lion: I would like to follow up a little bit on the order intake situation and then going forward, in order to meet '27 targets, when would you expect to -- that it would be necessary to see a tickup in order intake in order to make '27 realistic?
Felix Strohbichler: Yes. So it will be very clear in the second quarter. So at the latest in the communication of our half year results, it will be clear or hopefully, it will be clear based on the order intake, if we can ramp up capacities. And this is actually the starting point, and this is the decisive factor. When do we dare to ramp up capacities to be able to reach an output of EUR 2.7 billion in 2027. We will only there to ramp up capacities if there is a healthy order intake over several months. So this is, so to say, the preconditions. If in summer, we do not sit on an order book, which makes us confident that we can increase our capacity and our output to this level, then probably it will become difficult because we need some lead time to ramp up capacities and output.
Daniel Lion: So this would mean just to put it some figures indicatively does it mean like 20% intake in order intake at least or like 10% to 20%, 15%, I don't know, what range would you require in order to step up capacity expansion?
Felix Strohbichler: Yes. This is not so easy to answer because it's depending on product lines. So of course, it's depending on regions and product lines. And in some areas, we have even overcapacity like in the U.S. So it's relatively easy to ramp up in other areas, it's perhaps a little bit more complex. So it's not like one number, which has to come in. It's a mix of factors. It's also a product and regional mix question. But of course, we need some improvement. And in the U.S., for example, if we say a 10-plus percent increase is already significant and helps a lot. In EMEA, it's even not 10% because the basis is relatively high. But if we assume that there would be a 10% improvement in the U.S. and in Europe, I would feel confident to say that we could increase capacity. Of course, this is not a strict message. But as an indication, I would say a 10% increase would give us the necessary confidence to increase capacity to the required level.
Daniel Lion: Can you maybe also look back at '25, can you quantify the FX impact to some extent, especially the U.S. dollar, just to get a feeling of sensitivity in case we see some shifts or changes here in '26?
Felix Strohbichler: We have around 25% of our revenue in the U.S. or in U.S. dollars. So it's above EUR 500 million. Of course, if we have a fluctuation of exchange rate by 10%, it's a EUR 50 million impact in the one or the other direction. However, this is not completely true because if, for example, we have a change in exchange rate, we have some products where we have components exported from Europe, where also all our competitors are exporting from Europe, like, for example, for the loader crane, in such case, we adjust the prices and the USD effect is not as big because it's translated into higher prices than in U.S. dollars. So it's not a 100% effect, probably it's a 70% effect.
Daniel Lion: What about EBIT level?
Felix Strohbichler: Can you repeat the question?
Daniel Lion: What about EBIT level, EBIT margin level? How do you see the impact there?
Felix Strohbichler: You mean in the U.S.?
Daniel Lion: From FX, yes.
Felix Strohbichler: Yes, the impact of the exchange rate is limited because on the one hand, we have products which come from Europe and where also competition is coming from Europe. So here, there is more or less no major impact. Of course, in absolute terms, for the revenue share of USD, which is translated where also the EBIT line is translated, of course, the EBIT share goes down as well as the revenue share. So this is more or less the same factor. But in terms of operational EBIT margin in the region, the impact is very limited.
Daniel Lion: Okay. And then a situation on the -- or a question on the situation in Middle East. Do you see any direct impact or maybe indirect impacts on the business in the near term or going forward?
Felix Strohbichler: Well, first of all, of course, we have stopped our operations. We have some offices there and also some Service activities. So of course, we are not asking people not to go to work, but this is not an impact you will see in the year-end or even not in the quarterly results, but this is, of course, the first obligation of the management to make sure that we protect our people. In terms of business, of course, now we see energy prices going up. PALFINGER is not that energy intensive. So this is also not the major impact. In terms of supply chains, we also do not expect any impact. I think the biggest impact would actually be if there is a longer-term conflict. If the global economic outlook would deteriorate, of course, this would also have an impact on PALFINGER. Apart from this, we do not expect a major impact on PALFINGER if the war ends rather soon, of course, we rather have to take into consideration. We have seen this, for example, in Israel with the destruction, I have to say, of the Gaza Strip that we see a huge improvement of demand in Israel. And historically, Iran, for example, was a core market for PALFINGER with 70% market share in the ancient times. So if the sanction should go away, if there would be a regime change, this could be a major opportunity even for PALFINGER. So of course, we hope that in the midterm, this could even turn out as an opportunity.
Daniel Lion: And last one on Defense demand and development. Could you provide some more insight how your revenue share is and how you expect this to develop in the coming, say, 1, 2, 3 years?
Felix Strohbichler: Sorry, you were talking about Service revenue share?
Daniel Lion: No, Defense.
Felix Strohbichler: Defense, sorry, connection is not always that good. So the Defense share at the moment is at roughly 2%. We expect it to grow to 4% and you have to take into consideration that the Defense business is very service intensive. So this helps not only in the Service revenue share of Defense, but also helps, of course, in the growth of Service business. And the profitability, obviously, is relatively high also because the investments to be able to participate in this business, the risk also to enter this business and eventually not to get the tender is higher. So also the profitability has to be higher.
Operator: The next question comes from the line of Lars Vom-Cleff from Deutsche Bank.
Lars Vom Cleff: Two quick follow-up questions, if I may. One is a quick housekeeping question. Tax rate for '26, I think '25 was 23%, 24%. Is that a fair assumption for '26 as well?
Felix Strohbichler: Well, we had quite some good tax rates in 2024 and 2025. So I would, for a model, not recommend to take this number, but I think slightly below 25% is a good assumption going forward.
Lars Vom Cleff: Okay. Perfect. And then, unfortunately, so far, you're only providing us with a qualitative guidance on the first half and the full year. I mean, if we take slightly up year-on-year for the first half and compare it to the current Bloomberg consensus, which looks for a revenue increase of 3% and an EBIT increase of 7%, does that cause sweaty palms Or is that something you can live with?
Felix Strohbichler: Well, I would say that in terms of EBIT improvement of 7%, this is aggressive for the first half year. In terms of revenue increase, it's rather modest.
Operator: The next question comes from the line of Lasse Stueben from Berenberg.
Lasse Stueben: Could you provide just some color on the Q4 EBIT margin? That was a bit weaker. I understand Q4 has some seasonality impacts, but if there's any kind of operational sort of reasons why the margin was lower there. I'm guessing probably caused by the U.S. But any color would be helpful. And then the second point is just on working capital and CapEx. The colleague already mentioned the factoring in the working capital. Are you expecting a further reduction in sort of working capital as a share of revenue in the coming years? Or is this kind of the level where you feel comfortable? And if you could remind us on the level of CapEx spending planned for the next 2 to 3 years, that would also be helpful.
Felix Strohbichler: Okay. So first of all, development of the quarter. So if we compare EBIT level of Q4 2025 to Q4 2024, it was a significant increase. And I think you were comparing now Q4 to which quarter because I do not see now where you see the deterioration in the fourth quarter. So the EBIT margin, of course, if you look at the EBIT margin, it went down. However, there are several effects in there. It's mainly in the contribution margin. So it was a mix effect to a certain extent, but this is not a substantial change. It's rather, I would say, a timing issue.
Lasse Stueben: Okay. That's clear. And then on working capital and CapEx.
Felix Strohbichler: Well, in working capital, of course, we have some good opportunities in the last 2 to 3 years to compensate for the massive increases in working capital in the post-COVID times. This effect to counteract with measures against the high increases is going away more and more. So we still have some small pockets where we believe that we still have overstocked some topics, which we can further reduce. But now it's going more into hard work to consistently optimize our stock levels. So here, the potential to reduce working capital with further inventory reductions is getting more and more limited. So you won't see this big lever in terms of free cash flow for working capital in the years to come. So the main lever to further improve our free cash flow is actual profitability. It's the -- it's a starting point of the cash flow statement rather than working capital reductions even if there are still some opportunities to further improve. But as I said, this is now rather small compared to what we have seen in the past few years. And then you were asking about CapEx development. Last year was relatively low at EUR 100 million. At the beginning of last year, I mentioned probably EUR 130 million, which was our budget and which was our plan for several reasons. Some investments took a little bit longer than planned. Unfortunately, this doesn't mean that these investments will disappear. It will just take a little bit longer and the time shifts. So these investments will happen now in 2026, which means that we are expecting around EUR 150 million of CapEx in 2026. And it will remain -- the CapEx level will remain on a similar level also until 2029 as we have some major CapEx programs ongoing also linked to our Strategy 2030+.
Operator: The next question comes from the line of Miro Zuzak from JMS Investment.
Miro Zuzak: I have mainly 2 questions. The first one is on order intake. I mean you do not report order intake, but you do backlog and sales. And if I take just the difference between the 2 numbers, basically, I can give -- calculate a proxy on order intake. Now if I look at Q4, the number has sequentially come down. So Q1 and Q2, Q3 were very strong against, let's also say, a lower base. Q4, the base was a bit more difficult, but still it was now negative. And you mentioned before that you expect H1 2026 to be above H1 2025. Does this refer to order intake or sales? Maybe you can also comment on what I just said, whether it's correct or not. Maybe take the second question afterwards.
Felix Strohbichler: Yes. So first of all, you talked about our order book development, and it's a matter of fact that the last months of the last year were not overproportionately strong. However, the output, especially in December was very strong. So we had a strong fourth quarter in terms of revenue. And this was, so to say, the combination of those 2 effects where you saw this decrease in order book in the fourth quarter. Now looking at our guidance for the first half year, when we say slightly better, as I said before, talking about revenue, but also EBIT and of course, also order intake because even if now we have more or less the first half year already in hand. So of course, you can always have some surprises. But in terms of order book, the first half year is quite safe. But still, we also expect an improvement in order intake compared to the last year, also because the first 2 months were actually a good start.
Miro Zuzak: Okay. Cool. The second question is basically relates to your 2027 guidance of 10% EBIT. And then trying to model the 10% in the next 2 years, basically. If I look at the last 2 years, I see that the gross margin was good and has improved in 2025 by 80 basis points, which is in line with basically your aspiration of improving operational efficiency and so on. But if I look then at the OpEx cost, I see that more than that is basically eaten up by the Service cost and also R&D cost and also G&A costs, basically in percentage of sales, all these 3 lines, they worsened 2025. And if you now make the bridge to the 2027, the 10%, what is basically the mix between these 2, let's say, 2 lines, the COGS line and the OpEx line. Where does the improvement of 250 basis points come from?
Felix Strohbichler: So first of all, the beauty of the last 2 years was that the tailwind wasn't really there. So we had no increase in revenue, but 2 years in a row, a slight decrease in revenue. At the same time, we had a strong inflation, especially on the personnel cost. So even if material costs have remained quite stable or in some cases, have even come down, inflation on personnel cost was a major impact in absolute terms in Europe and in the U.S. in relative terms, even stronger than also, for example, in countries like in the Eastern European production sites. So this was one impact. The second impact was we have a growth strategy, and we are investing to grow the company to more than EUR 3 billion. And this is nothing you can do overnight. So this requires investments with a certain confidence in the future. Unfortunately, these investments are not only CapEx, it's also OpEx. It's like implementation of our EP system globally. It's a lot of R&D investments we have done. And all those things, unfortunately impact structural cost. This is a big delta, as I also mentioned before, to our competitor Hiab. They are, of course, in the same market. Their reaction is different. they have started to dramatically cut cost. PALFINGER has taken the decision to further invest in the future. And the main lever for the profitability increase is actually to benefit from the growth we have been preparing ourselves over the last 2 years. So this is the main lever to get to the 10% EBIT margin because we have the structures in place to get there. But in the last 2 years -- and not only in the last 2 years, probably in the last years, you can see that PALFINGER has invested in structures, in Service sites, et cetera. And in early phases of such investments, it's a cost and not a benefit.
Miro Zuzak: And to answer then the question, that would mean that the improvement mainly comes from the OpEx lines because...
Felix Strohbichler: Within the time frame of 1.5 years, it can only come from the top line because such a short-term cost improvement on the structural cost would not be possible to such an extent, not without cutting arms or legs.
Operator: We have a follow-up question from the line of Markus Remis from ODDO.
Markus Remis: The first one would be on Russia. What's kind of the expectation for that business? You indicated a roughly breakeven situation in 2025. So what's kind of the scope for revenue development? And is there a risk of Russia falling into losses? And then the second question is a very specific one. In Q4, I see that in the holding and nonreportable segment, EBIT was negative at EUR 14 million, which is quite a hefty number, almost double or more than double of last year and also sequentially compared to Q3, the loss doubled. Were there any specifics that you would like to outline here?
Felix Strohbichler: Actually, I would have to look it up because it's not one single impact, but what happens typically in Q4 that certain positions take effect or provisions are made. So it's not an operational topic. This is rather an accounting and timing issue. There was no special event in Q4, which would have led to this change in the result.
Markus Remis: Okay. And on Russia?
Felix Strohbichler: Yes. So for Russia, if you ask me for an outlook, this is, of course, very difficult to say. As we are also not controlling those entities, we rather report the numbers and get the information, so to say, and then report with the wisdom of hindsight. However, what I can say is that in 2025, the situation was really difficult. The management managed to turn around the liquidity situation to achieve a clearly positive cash flow in the second half of the year after a negative first half year, the profitability was slightly positive, and we already see a slightly positive development. But of course, if I talk about the positive development, I mean that we expect a slightly positive situation and no losses, we won't see double-digit EBIT margins in Russia. So I cannot answer the question based on fact figures and my knowledge deep inside the market. But what I can say is that from today's perspective, and this is also reflected in our budget, we expect that the entities will remain stable in terms of liquidity and also stable in terms of profitability. And the good thing is that we have a very experienced management there, and they have proven in the meantime, in some cases, over decades that they know what they are doing.
Markus Remis: Okay. And maybe a very nice one to have it specifically mentioned here. When you say regarding the first half, you say, okay, revenues should be higher. And then the notion on the earnings, should also be EBIT and margin be higher or just EBIT?
Felix Strohbichler: So as I said, we expect the revenue to be higher and also the EBIT to be higher, the revenue a little bit more than the EBIT, but this is what is our guidance now for the first half year.
Markus Remis: Okay. So slightly lower EBIT margin then?
Felix Strohbichler: Slightly lower EBIT margin or almost stable, but probably a slightly lower EBIT margin, but a higher revenue and also slightly better EBIT.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Felix Strohbichler for any closing remarks.
Felix Strohbichler: Yes. Thank you very much for your attention and for your questions. I just want to remind you once again at the end of this call, PALFINGER is a very attractive company as a market and technology leader with a lot of growth potential and earnings potential with a highly resilient setup. So please keep -- stay tuned, and we have good opportunities for the future, and I'm confident that at the half year, we will have the next good news for you. Hopefully, we hear each other in 3 months again for the quarterly call. Thank you. Bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your line. Goodbye.